Operator: Good morning. My name is Angela, and I will be your conference coordinator today. Welcome to the Luxfer’s Third Quarter 2023 Earnings Conference Call. All lines have been placed on mute. [Operator Instructions] Now, I will turn the call over to Kevin Grant, Vice President of Investor Relations and Business Development at Luxfer. Kevin, please go ahead.
Kevin Grant: Thank you, Angela, and good morning everyone. Welcome to Luxfer’s third quarter 2023 earnings conference call. This morning we’ll be reviewing Luxfer’s financial results for the third quarter ended October 1, 2023. I’m pleased to be joined today by Andy Butcher, our Chief Executive Officer; and Steve Webster, Chief Financial Officer. Today’s webcast is accompanied by a presentation that can be accessed at luxfer.com. Please note, any reference to non-GAAP financials are reconciled in the appendix of the presentation. Before we begin, a friendly reminder that any forward-looking statements made about the company’s expected financial results are subject to future risks and uncertainties. We undertake no obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise. Please refer to the Safe Harbor statement on Slide 2 of today’s presentation for further details. Now, let me introduce Luxfer’s CEO, Andy Butcher. Please turn to Slide 3. Andy, please go ahead.
Andy Butcher: Thank you, Kevin, and welcome to the Luxfer team. Good morning, everyone. Thank you for joining us. We have a lot to cover on today’s call. First, I’ll provide a high-level overview of our third quarter financial performance. On October 11, we announced preliminary Q3 results and the shortfall against full year guidance. I will review what drove that shortfall and the ongoing and accelerated initiatives we are executing to address the business conditions we are facing today. Steve will then discuss the quarter in more detail and provide our outlook for the fourth quarter. I’ll end by providing color on the accelerated and expanded strategic review we are undertaking, which we referenced in yesterday’s release. For the third quarter, we reported sales of $97.4 million and adjusted diluted earnings per share of $0.04, in line with the preliminary results we announced. We noted that specific areas of our business are facing continued challenges with either supply chain issues or weakening demand, which we have shared on our second quarter earnings call in late July. While we lowered our full year 2023 guidance to reflect these challenges, it was not enough. The headwinds persisted and grew during the quarter, resulting in a disappointing Q3 results. On today’s call, we will discuss the issues we are facing in more detail and the actions we are taking. We are tightly focused on controlling what we can as we navigate the increasingly challenging macro landscape to deliver improved results for Luxfer shareholders. Beginning with revenue. The 2.8% year-over-year drop in sales was the net result of growth in the Gas Cylinders segment that was more than offset by a decrease in the Elektron segments. By end market, our business across Defense, First Response and Healthcare, along with Transportation, grew revenues compared to last year, while General Industrial saw significant reductions. Adjusted EBITDA of $6 million was down from $16.1 million in the prior year, reflecting competitive pressures and rising costs, especially in Graphic Arts as well as unfavorable exchange rates, adverse volume and mix, some tough comparisons to prior year on pricing and higher legal costs. We did deliver strong cash flow, generating free cash of $8.9 million in the quarter up by $7.6 million from the same period last year. We reduced net debt by $6.1 million to $78.4 million, resulting in a net debt-to-EBITDA ratio of 1.7 times. We are pressing forward with cost-cutting initiatives already commenced as well as additional programs to drive margin improvement. Let’s turn to Slide 4 for a deeper dive into the specific challenges we encountered in Q3. At a high level, the challenges we faced fell into two main categories. The first category is supply chain issues, primarily, although not exclusively, related to sourcing magnesium. With the disruption of our supply originating from U.S. magnesium force majeure declaration [ph], we and others in North America were forced to find alternative higher-priced magnesium. At this time, we have identified more competitive sources that we are approving for use in some North American products, and we are already cycling through higher-priced inputs. Until this is concluded, we incur an adverse impact on sales volumes in certain end markets, particularly in Graphic Arts, where higher prices have not proved sustainable. And so we work to alleviate this by focusing on products where we deliver the greatest value. The second category is a macroeconomic environment that is leading to lower demand in some of our markets. Economic slowdown and uncertainty along with higher interest rates, tight labor conditions and rising geopolitical volatility are impacting demand, primarily in our General Industrial end markets, and a weighing on customer buying pay behaviors for these products. This is most evident in markets such as Graphic Arts, commercial magnesium powders and industrial zirconium applications, those markets which are also susceptible to pressures from lower-cost Asian-based materials. Together, these three product categories represented approximately 87% or $10 million of the year-over-year decline in General Industrial end market sales. Turning to Slide 5, I will walk through the actions we are undertaking to address these challenges. Throughout 2023, we’ve been driving accelerated cost reduction programs as well as cash flow and supply chain improvements. Regarding cost reductions, we are focused on ongoing structural cost savings, so the benefits are sustainable. And importantly, we continue to invest in the parts of our business where we see long-term profitable growth opportunities, just new products in Elektron and new applications for alternative fuels. We have reduced and continued to reduce our headcount to align our costs with the demand environment. In Graphic Arts and Magtech, for example, this includes reducing the number of employees by over 20% year-to-date, up from the 10% reported last quarter with similar reductions in Luxfer Gas Cylinders, Europe. In addition to headcount changes, in Graphic Arts alone, we have identified $750,000 of annualized productivity savings, and we anticipate further reductions in magnesium sourcing costs next year, even before any benefits accruing once U.S. Magnesium returns to normal business operations. The consolidation of our Elektron Powders manufacturing from three to two facilities is on track to conclude in the fourth quarter delivering $900,000 of annualized run rate savings and allowing us to sell the vacant property in 2024. In our Gas Cylinders business, we are continuing to take important proactive measures in collaboration with our customers to address high carbon fiber costs. Within alternative fuel, as we shared last quarter, we are simplifying our footprint by transferring production from Pomona to Riverside in Calgary. This is improving productivity while preserving the existing capacity and already delivering $1.1 million of ongoing annual fixed cost reductions. We plan to sublet a portion of the Pomona site in 2024. Our outlook for the alternative fuel market long term remains positive, bolstered by the recent U.S. administration’s announcement that seven regional clean hydrogen hubs have now been selected to receive $7 billion from the Infrastructure Investment and Jobs Act. Finally, in addition to reducing expenses, we are managing working capital, primarily inventory and receivables. We have made good initial progress here and expect to continue driving cash flow as we work through higher-cost magnesium in our inventory. At this time, I’ll turn the call over to Steve to discuss our Q3 results in greater detail and updated full year 2023 outlook, after which I’ll provide details on our strategic review. Steve?
Steve Webster: Thanks, Andy. I’ll begin on Slide 6 with a summary of our sales performance by end market. Defense, First Response and Healthcare sales grew by a notable 20% in the third quarter, driven by strong demand for our lightweight firefighter SCBA cylinders and continued contributions from chemical kits, flameless rations heaters and pharmaceuticals. Transportation sales grew 6% as automotive remains strong on the back of increased auto catalysis shipments and the completion of this year’s RotaMag alloy wheel program. Meanwhile, alternative fuels, inflatable cylinders, and aerospace alloy sales were flat in the quarter. General Industrial sales decreased 30% being most impacted by the macro headwinds mentioned earlier. The issues we faced in photo-engraving plates, commercial magnesium powders and industrial zirconium applications weighed on our performance. One area of strength, though, was an increase in our new green hydrogen product line. Please turn to Slide 7 for a summary of our consolidated third quarter financial results. Third quarter sales of $97.4 million, decreased $2.8 million or 2.8% from the prior year, impacted by volume declines and unfavorable mix, primarily in industrial markets. We did see favorable pricing in Gas Cylinders, partially offset by Elektron. Consolidated adjusted EBITDA of $6 million decreased $10.1 million or 62.7% from the prior year. Proactive price recovery efforts were not sufficient to overcome combined headwinds of inflation, volume and mix. In addition, we faced tougher comps in the Elektron business as in the prior year, we were successful in driving price in advance of realizing material cost increases, which now acts as a headwind by comparison. Finally, foreign exchange had a negative impact of $0.9 million, and we incurred increased legal costs. Turning to Slide 8 and our segment results. Elektron sales of $52.7 million decreased 7% from the prior year, driven by lower demand in the General Industrial end market and some lower pricing passed through where input costs have fallen. Elektron’s adjusted EBITDA of $3.2 million decreased 75% due to the impact from lower demand, cost and volume pressures in Graphics Arts, the non-recurrence of the accelerated prior year price increases and the higher legal costs. Gas Cylinder sales of $44.7 million increased 3% with momentum building in the quarter as an SCBA sales increase offset lower sales of cylinders for industrial applications. We continue to benefit from improvements in cost pass-through, and this positive trend is being maintained in October. Adjusted EBITDA of $2.8 million declined 18% due to the impact from lower volumes of high-margin industrial cylinders and adverse short-term productivity, offsetting higher pricing and fixed cost savings. Now, let me address our balance sheet and capital allocation priorities on Slide 9. We remain steadfast in maintaining our strong balance sheet and driving strong free cash flow, which provides the flexibility to continue to invest in our business for future growth and return cash to shareholders. During Q3, we allocated $2.5 million towards organic growth initiatives, including the recent announcement of a new production facility at Luxfer Gas Cylinders Nottingham UK site to assemble bulk gas systems, enabling the transportation of hydrogen and other gases across Europe. Year-to-date, CapEx is $7.5 million, and we are still on track to invest up to $11 million this year. As always, we are being thoughtful and selective with our approach to capital spend projects, focusing on growth opportunities and operational efficiency and supporting our efforts to deliver cash flow. During the quarter, we paid $3.5 million in dividends and bought back $0.6 million in shares. We have $12 million remaining on our share repurchase authorization. Let’s turn to Slide 10 for our updated 2023 guidance. Given the increasingly challenging demand environment and increased geopolitical risk impact, we currently expect full year sales will be 5% to 7% lower than the prior year. We anticipate Magtech sales to be soft in Q4 due to timing of orders, which we expect to recover in quarter one and we remain positive on the long-term demand profile of that business. In the fourth quarter overall, we forecast that increased revenue and profitability in Gas Cylinders is offset by continued weakness in Elektron. We anticipate that resulting adjusted EPS will be in the range of $0 to $0.05. We remain focused on cash generation and inventory levels and expect to achieve our goal of 100% adjusted free cash flow conversion. We are operating in a dynamic environment with several challenges to navigate. Our team is focused on executing our self-help cost saving and profitability initiatives to set Luxfer up for success in 2024. Now I’d like to turn the call back to Andy. Andy?
Andy Butcher: Thanks, Steve. I’m on to Slide 11. As we announced on October 11, we are accelerating and expanding our annual strategic review process. The purpose of this comprehensive and portfolio-wide exercise is to review our business and operations to inform strategy development and evaluate future opportunities. To support our efforts and to ensure a rigorous independent assessment, we’ve engaged a leading global investment bank that is in the process of evaluating all of our businesses, our capital structure and the range of available opportunities to unlock and maximize value. The scope of this activity is comprehensive and we are executing the review with an open mind, considering all possible paths to value maximization. Luxfer offers unique capabilities in materials technology, and we want to make sure we are in the right markets and businesses to best leverage those advantages for our customers, employees and shareholders. The strategic review has kicked off in earnest and is ongoing. We are committed to transparency and plan to provide an update on or before our fourth quarter and 2023 full year earnings call in February. Given the macroeconomic uncertainty and pending the outcome of the strategic review, we have decided that it is responsible and appropriate to withdraw our previous adjusted EPS goal of $2 in 2025. We will revisit long-term targets when our strategic review is complete, and we are in a position to provide a more informed outlook. I want to underscore that our Board and leadership team are committed to driving improved performance and taking the necessary actions to transform Luxfer. And to that end, I want to thank our stakeholders, to our employees around the world who are working hard to ensure we are able to meet the needs of our customers, to our customers, who placed their trust in us to deliver innovative and valuable solutions and to our stakeholders for their interest and support over the long term. With that, I’d like to turn the call back to the operator to begin the Q&A session, after which I will provide some final remarks. Angela, please go ahead.
Operator: [Operator Instructions] Our first question comes from Steve Ferazani with Sidoti. Please go ahead. 
Steve Ferazani: Good morning. Andy, Steve, appreciate you taking my questions this morning. And appreciate the detail on the call. Trying to get a better sense of your outlook on Graphic Arts now with the new competitive pressures. It would seem like that margin pressure won’t go away even if U.S. mag comes back. How do you look at that business going forward, given that you’ve been willing to divest lower-margin business to slower growth businesses in the past?
Andy Butcher: Thank you, Steve, and welcome to the call. Let me first of all talk about Graphic Arts demand and then our strategic review process. The trading conditions of Graphic Arts remain very difficult in Europe at the moment, Steve. Currently, that outage of U.S. Magnesium means we’re working with much higher material costs than our competitors in Europe who are predominantly using Chinese-based material. In Q4, we will be introducing an improved photo-engraving plate that we expect to deliver a strong value proposition to end users. So that will be helpful. And I do believe that long-term, the magnesium raw material market will likely stabilize at lower prices. We may have opportunity to purchase some notably lower cost magnesium in 2024. So those will be significant positives for the future prospects of the business. Turning to your specific question on Graphic Arts and our strategic review. The strategic review includes the comprehensive review of all of our businesses, which does include the Graphic Arts business. Right now, we’re very focused internally in Graphic Arts in reducing the costs and improving the profitability. If after the strategic review is complete, it’s determined that Luxfer is not the best owner of the Graphic Arts business than we would embark on a process to find what that best owner of the Graphic Arts is. And we couldn’t commit to a transaction today, of course, and we’d never sell any business if we couldn’t get greater value than the value of the business under Luxfer’s ownership. I think the best takeaway overall on this is that the Board and the management are aligned and committed to unlocking and delivering long-term stakeholder value and open to any and all alternatives to do so.
Steve Ferazani: Great. Appreciate the answer. Turning to a couple of the stronger areas for you this quarter. Transportation was up year-over-year. Alternative fuel is still flat. Was this a one quarter uptick? It looked like you had some benefits that were going to be one-off this quarter, the conclusion of the wheels sales for the year. Can you give us an outlook on near-term outlook on transportation given maybe an improving regulatory environment for hydrogen?
Andy Butcher: Yes. Thank you. So transportation for the quarter was up. You’re right. The – particularly encouraged by what we see long term from the alternative fuel market. And especially, I would say, at the moment, in the CNG area, some lower natural gas prices, increasing low emissions vehicle requirements have made that the need for CNG vehicles, especially in North America is quite strong. I was saying earlier this week, more details on the new multi-fuel 15-liter engine coming out from Cummins for up CNG, rolling out into extended trials. And we’re seeing some good benefits from that now, and I hope that will be an additional tailwind for us in 2024. I feel good about our CNG range. In hydrogen, yes, the outlook is still pretty choppy, I think. The tailwind from some of these government infrastructure investments isn’t really being felt yet, although that news on the expenditure in seven specific hydrogen hubs was very encouraging. Alternative fuels is an important part of our strategy for value creation. We may have to be a little patient on hydrogen. It was good to see that strong development in CNG.
Steve Ferazani: Fantastic. Last one for me, if I could squeeze it in. It looks like you benefit on Gas Cylinders primarily from pricing and your pricing is more than offsetting inflationary pressures, surprised we didn’t see margin improvement. Can you give a little bit of detail on why that didn’t result in margin improvement?
Andy Butcher: Yes. We are pleased with the progress being made on pricing in Luxfer Gas Cylinders. That’s been a positive this year, and we believe will be for the future, some of the longer-term contracts that we have are rolling off, and that’s giving us opportunity to recover some of those higher costs that we’ve been seeing from some time, so that’s been very helpful for us. In the period, we did see some – early in the period, we saw some productivity shortfalls in one of the facilities that was associated with a shortage of labor and some equipment difficulties, but that’s in the past. Now, September was much stronger. The higher performance has continued into October, and we’re projecting in the notes in the script, a better performance, again, out of Gas Cylinders in Q4, which I believe will carry forward into the new year.
Steve Ferazani: Great. That’s it for me. Thanks, Andy. Thanks Steve. 
Andy Butcher: Thank you. 
Operator: At this time, I’ll turn the call over to CEO, Andy Butcher for any final remarks.
Andy Butcher: Thank you, Angela. Please turn to Slide 12. Thanks for the questions and dialogue today. While this is a difficult period, I want to remind us that Luxfer continues to offer a strong customer value proposition supported by competitive advantage across diverse niche applications. Our materials engineering expertise, broad array of proprietary technologies, technical know-how and manufacturing expertise deliver innovative and superior solutions to our customers. We are continuing to concentrate the product portfolio in segments that create sustainable long-term value. Currently, we are facing supply chain and macroeconomic challenges that are creating headwinds for our business. To combat these factors, we have and continue to take decisive actions, which are gaining traction, executing initiatives focused on pricing, footprint optimization, cost savings and cash flow management. But these actions alone are not sufficient. Our expanded annual strategic review process will thoroughly explore a comprehensive range of opportunities to fully unlock and maximize value. We look forward to sharing the results of that strategic review with you and outlining the next steps in our value creation journey. Thank you again for your time today. Operator?
Operator: This concludes Luxfer’s Q3 2023 Earnings Call. A recording of this conference will be available in about two hours. A link to the recording of this webcast will be available on the Luxfer website at www.luxfer.com.